Operator: Good day, everyone, and welcome to Manitowoc Company First Quarter 2021 Earnings Conference Call. Today's call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Ion Warner, Vice President, Marketing and Investor Relations. Please go ahead, sir.
Ion Warner: Good morning, everyone, and welcome to the Manitowoc conference call to review the company's first quarter 2021 financial performance and business update, as outlined in last evening's press release. Participating on the call today are Aaron Ravenscroft, President and Chief Executive Officer; and Dave Antoniuk, Executive Vice President and Chief Financial Officer. Today's webcast includes a slide presentation, which can be found in the Investor Relations section of our website under Events and Presentations. We will reserve time for questions and answers after our prepared remarks. I would like to request that you limit your questions to one and a follow-up and return to the queue to ensure everyone has an opportunity to ask their questions. Please turn to Slide 2. Please note our Safe Harbor statement in the material provided for this call. During today's call, forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995 are made based on the company's current assessment of its markets and other factors that affect the business. However, actual results could differ materially from any implied or actual projections due to one or more of the factors, among others, described in the company's latest SEC filings. The Manitowoc Company does not undertake any obligation to update or revise any forward-looking statements, whether as a result of new information, future events or other circumstances. And with that, I will now turn the call over to Aaron.
Aaron Ravenscroft: Thank you, Ian, and good morning, everyone. Please turn to Slide 3. I would like to start by thanking the Manitowoc team for a job well done. I was really pleased with our performance in the first quarter. Adjusted EBITDA and cash flow from operations exceeded our expectations. Frankly, this was accomplished in spite of a myriad of production and delivery issues created by the current supply chain and logistics environment, not to mention the ongoing challenges created by the COVID-19 pandemic. Nevertheless, the team persevered and delivered a very strong start of the year. In terms of orders, we were pleasantly surprised for the quarter. Our orders were up 26% versus the same period last year, and we ended the first quarter with a backlog of $663 million. Starting with Europe, the tower crane business was unusually strong during the period. I attribute this to three dynamics. First, certain European countries such as Italy implemented tax incentives to promote capital investments, which drove orders, particularly for self-erecting cranes. Second, we had several key dealers placed partial orders during the fourth quarter winter campaign due to economic uncertainties. As the economy reopened, these dealers placed follow-on orders in the first quarter. Lastly, as we implemented price increases to offset material cost increases, some dealers placed additional orders in advance of the price change. Unfortunately, however, the mobile crane business in Europe was not as robust and was more reflective of the cautious tones that we hear out of the EU. Net-net, we were genuinely surprised by the performance of the region during the first quarter. Moving east, we continue to feel good about the general activity in the Middle East and Asia Pacific. The project pipeline in the Middle East is encouraging. And China, South Korea, and Australia posted strong bookings during the quarter. Finally, I wanted to end in the Americas to ensure that nobody jumps to conclusion that our total performance for the quarter was reflective of a significant change in the U.S. market. The order increase in North America was high single digits, which is great news, but we remain tempered with our outlook on the U.S. market. The signals that we see in the marketplace don't necessarily match all of the positive information that you see in the news these days. Clearly, the vaccine news is positive, and there is a lot of speculation around the U.S. infrastructure bill. However, the major crane rental houses are still holding tight to the purses. Big oil companies are still cautious to invest even as oil is back above $60. And on top of that, used equipment prices still remain depressed. Finally, when I look at our dealer inventory levels and consider their orders that are on the books, I would say that our dealer network is well positioned to seize the opportunity for an uptick in business. So we have a measured view of the North American crane market. Given the volatility of the crane market, it's essential for us to keep investing in The Manitowoc Way to continuously improve the flexibility of our operations. As I mentioned, demand for self-erecting tower cranes has been surprisingly strong over the last two quarters. In order to meet customer demand, our team in Niella, Italy is in the process of executing several kaizens to increase our production by 30% with minimal capital investment. Using standard of work, the team will rebalance the main assembly line and create a few offline production cells to ensure that we can meet the overall tax time. In terms of capital investment, we will install a couple of manipulators, but really, this is much about improving safety as it is about increasing productivity. As always in lean, a little elbow grease and creativity can take us a long way in meeting our unpredictable spikes in the crane business. A big thank you to Pier Domenico and his team in Niella. With that, I'll pass it to Dave to provide details on our financial results. Dave?
Dave Antoniuk: Thanks, Aaron, and good morning, everyone. Let's move to Slide 4. Our first quarter orders totaled $474 million, an increase of 26% compared to $375 million of orders in the same period last year. On a currency-neutral basis, Q1 orders were up $78 million or 21%. Orders improved in all of our segments, driven by pockets of higher customer demand within each region. Our March 31 backlog of $663 million was better by 27% over the prior year and up 23% on a currency-neutral basis. Backlog also increased across all of our segments with over 85% scheduled to ship within the next six months. Compared to year-end, backlog was up 22% and, on a currency-neutral basis, up 25%. Net sales in the first quarter of $354 million increased $25 million or 8% from a year ago. Stronger results in the EURAF and MEAP segments were partially offset by a decline in the Americas segment. Net sales were favorably impacted by 5% from changes in foreign currency exchange rates. On an adjusted basis, SG&A expenses increased by approximately $1 million year-over-year. The increase was primarily driven by unfavorable foreign exchange rates, higher short-term incentive compensation expense and increased insurance and legal costs, mostly offset by a decrease in marketing and travel expenses. As a reminder, the 2020 marketing expenses were higher due to the Triennial CONEXPO trade show. Our adjusted EBITDA for the first quarter was $21 million, an increase of approximately 29% year-over-year. Higher volumes and a favorable product mix drove the year-over-year increase. As a percentage of sales, adjusted EBITDA margin improved to 6%, an improvement of 100 basis points over the prior year primarily due to leveraging of our fixed costs over a higher sales volume. First quarter depreciation of $10 million increased $1 million compared to the prior year, reflecting the higher level of capital expenditures in the second half of 2020. In 2021, we anticipate total capital expenditures between $35 million and $40 million, which includes the investment in our European rental fleet. Our provision for income taxes in the first quarter was $4 million and driven by income in non-U.S. jurisdictions. As a reminder, the company has tax valuation allowances established for certain countries, and therefore, losses in those countries are not available to offset income tax expense in profitable jurisdictions. Our GAAP diluted loss per share in the quarter was $0.09. On an adjusted basis, diluted loss per share of $0.06 improved by $0.12 from the prior year, driven by increased operating income and partially offset by higher income tax expense. Moving to liquidity, we generated $41 million of cash from operating activities in the quarter compared to a use of $79 million in the prior year. Capital spending in the quarter amounted to $8 million, of which $7 million related to the European tower rental fleet. As a result, our free cash flow in the quarter was $34 million. The primary driver of our positive cash flow was a net decrease in working capital. We ended the quarter with a cash balance of $159 million, an increase of $30 million from year-end. Our total liquidity as of March 31 was $443 million with no borrowings on our ABL. With that, I will now turn the call back to Aaron.
Aaron Ravenscroft: Thank you, Dave. Please move to Slide 5. As I communicated last quarter, I see 2021 as a year of transition. The COVID-19 pandemic is long from over and in fact our crawler production was significantly impacted during the first quarter when a few of our colleagues at the Shady Grove campus tested positive for COVID. We took immediate action to protect our workforce and to minimize the possibility of spreading the virus, which resulted in a temporary shutdown of certain production areas. And in Pune, India, hospitalizations have recently spiked due to COVID, which has resulted in an oxygen shortage. We have temporarily closed our welding operations and effort to help conserve the local supply of oxygen for medical uses. Turning to the economy. As we predicted, the return to normalcy is creating a multitude of dislocations throughout the world supply chain. A quarter ago, the industrial world forecasted steel prices spiked in the first quarter and to capitulate as the year we're on and capacity was headed. Unfortunately, today, the general view is that steel prices will remain at high levels for the entire year. We expect to see costs for steel, logistics, and transportation increase as much as $30 million year-over-year. We are raising prices to mitigate the impact, but there is always a lag between raw material lead times and the effective date of the price increase. The second major complication is the semiconductor chip shortage, which has created significant issues throughout our supply base. For example, the shutdowns in the heavy-duty truck industry will impact our boom truck shipments during the second quarter. So while we feel positive about order and backlog trends, we are nervous about inflation and the likely supply chain complications. In light of this and other headwinds that we discussed on our last call, such as insurance increases, short-term incentive plans, and nonrecurring COVID relief benefits, we anticipate our year-over-year contribution margins to be lower than normal in the second half of 2021. With that, we are introducing full year 2021 adjusted EBITDA guidance of $90 million to $105 million. Please move to Slide 6. Looking beyond 2021, though we still have some questions about how the European tower crane market may cycle, we generally believe that momentum is building in the overall global crane market. Moreover, we believe that our four strategic initiatives will put us in a strong position to take advantage of the cycle. Number one, our European tower crane rental fleet strategy is on track. During the first quarter, we invested approximately $7 million in CapEx on this initiative, with most of these cranes already rented and in service. We plan to expand the fleet by another $8 million during the year. Number two, our Chinese tower crane business continues to move forward. We just launched a fourth new model designed by our China team, the Potain MCT 138. More than 100 customers visit our factory for this product launch and the customer feedback was excellent. While this strategy helps grow our position in China, it also permits us to grow our market share in the Belt and Road regions. Number three, in our all-terrain crane business we are investing an additional $4 million during 2021 in an effort to fill in product gaps. While several of these new cranes will be launched at Bauma next year, this is a five-year strategy. Over the last three years, the main focus of our engineering team and the AT business was to improve our quality on legacy machines while updating designs to meet regulatory requirements, such as Tier 5 emission standards among a few others. It's a nice change in pace to refocus our attention on innovation. In addition, I'm very pleased to speak publicly about Grove Connect. This is a remote diagnostic technology that our engineering team picked off during the fourth quarter. We are currently testing it and expect to launch the first phase of this new technology by the end of this year with additional capabilities to follow. Adding Grove Connect to our all-terrain cranes will significantly improve the serviceability of these complex machines. Number four, last but not least, we continue to pursue acquisition opportunities that will drive substantial long-term growth. In closing, the team has performed well under very difficult conditions. As we stated several months ago, 2021 will be a year of transition as the economy and our supply chain normalizes. We will continue to lean on The Manitowoc Way to guide us through these challenging times. Concurrently, we are confident that our four-point growth strategy will improve our ability to deliver greater value to our customers while generating greater long-term returns for our shareholders. With that, operator, please open the lines for questions.
Operator: Thank you, sir. [Operator instructions] We will now take our first question from Jerry Revich from Goldman Sachs. Please go ahead.
Jerry Revich: Yes. Hi. Good morning, everyone, and congratulations on the strong quarter.
Dave Antoniuk: Thanks, Jerry.
Aaron Ravenscroft: Thank you very much.
Jerry Revich: I'm wondering if you could talk about the order cadence that you're seeing at this point just expand on the comments you shared in opening remarks, it sounds like the European tower crane momentum has continued into April. So maybe just touch on a little bit more in terms of what you've seen since quarter-end by region and products?
Aaron Ravenscroft: Yes. So I'll speak at a high level. I mean, April was a good month for us in terms of orders, but some of that is that we see orders coming in advance of price increases that we've implemented.
Jerry Revich: Okay. So you purely see that as a pull forward, Aaron?
Aaron Ravenscroft: Yes, I think so.
Jerry Revich: And then can you talk about the price/cost matching, so you folks have a lot of longer-term supply agreements as you're seeing this pull forward in orders. I'm wondering to what extent will your cost base actually generally be okay. We've seen you folks manage pretty volatile input cost environment pretty well over the past couple of years. And I'm just wondering if the comments that you folks are having about matching price with input cost inflation is just healthy fear of the supply chain versus anticipated price/cost drag in 2Q?
Aaron Ravenscroft: So I'm going to ask Dave to answer that question. Before he does, I'd just say that, I would say over the last five or six years, we didn't see the systematic inflation that we see today. And even in an instance of steel back in 2017 the way it increased, it was only up for a quarter and it came back down. So Dave, do you want to take in more detail on that?
Dave Antoniuk: Yes, sure. So Jerry, we've actually done a nice job into the first half of 2021 with our pricing and our buying of steel, which is causing the results to get there. But as you know, with typical like foreign exchange and everything, over the long-term, you're going to get your cost up to the market price. And with the prolonged high steel prices in the short-term, it's going to have an adverse effect on our price/cost comparison because we can increase prices fast enough to offset the material cost increases, which is why we're going to see a degradation in our flow-through in the second half of the year.
Jerry Revich: And Dave, can we just put a finer point on that? So what's the price/cost drag in terms of hundreds of basis points? Is it less than that? And then based on the price increases that you've announced, when do you think you're going to be right side up?
Dave Antoniuk: So Jerry, I would say, number one, we don't give quarterly guidance. So we're kind of – we've looked at the full year, we've kind of anticipated where we think we'll be in the full year. 2021 will be challenging throughout the year, and I see 2022 as being the year that will – this will even out a little bit more.
Aaron Ravenscroft: And I'd just add that we have more coverage into the second quarter when we get into the second half where the steel prices start to really have an effect on us.
Jerry Revich: And the order of magnitude of the headwind that's anticipated in the guidance, could you just put a finer point on that for us?
Aaron Ravenscroft: I'd just point to the $30 million that we commented on in the prepared remarks.
Jerry Revich: That's on a net basis, net of pricing. Okay. Alright. Thanks.
Operator: We will now take our next question from Ann Duignan from JPMorgan. Please go ahead.
Aaron Ravenscroft: Good morning, Ann.
Operator: Please go ahead. Your line is open. [Operator instructions]
Ann Duignan: Thank you very much. My mute button was indeed on. Sorry about that. Could you talk a little bit about the operating free cash flow? You noted that it was positive versus seasonally, it should be negative on the back of working capital. Can you just talk about what happened there and how we should think about that as we go forward, the cadence of cash generation?
Aaron Ravenscroft: Yes. So I mean the first quarter was unusual for us historically speaking. Part of that had to do with the fact that we had higher AR at the end of the year that converted over. So that helped us. And then the other side of this is just how we manage our inventory throughout the year. Right now, we're at a lower level and building up as the year goes on. I think the question for us to really decide in the next quarter will be how we manage the fourth quarter. Normally, we really pulled down inventory in the fourth quarter. But as we see the market picking up, and we're going to have to make some decisions regarding our build schedule because we don't want to miss out on potential sales in the first quarter, which would typically happen if we draw on our inventory as low as we can in the fourth quarter. Dave, do you have anything to add?
Dave Antoniuk: Yes. And I would say that if I recall, the last time we spoke about free cash flow, we talked about being positive in CFOA, cash flow from operating activities, and offset – that will be offset by capital spending. At this time, our line of sight indicates that we'll have positive free cash flow after the capital spending. And that's always contingent upon how the order book takes us to the end of the year and with inventory being the wildcard in that one for the most part.
Ann Duignan: Okay. You had also said that working capital will be a headwind and first half reversing the half two. So I was just curious why that had changed. Thank you for the color. Then can you talk a little bit – you get us the $30 million on material cost inflation, that's helpful. Can you talk about the other costs that you had discussed in Q4, you talked about $15 million headwind from the return of discretionary costs? Just update us on that. And then you'd also talked about negative mix and stronger crawler sales. Is that different now just because towers are picking up so much? If you could just update us on those, I'd appreciate it. Thank you.
Aaron Ravenscroft: Yes. You hit the nail on the head with respect to the mix because the tower business is stronger than we anticipated. The crawler business is held steady net-net, it helps us out. So I think that's a good way of looking at it. With respect to the costs we talked about in the fourth quarter, I would say those maintained. There is no significant change to that $15 million.
Dave Antoniuk: Right. And I'd say the big benefit came, Ann, in the first quarter when we did the year-over-year comparison is that last year, in 2020, we had about $3 million of costs associated with the CONEXPO show, which didn't repeat, and that was a big driver for the decrease in – against 2021 results. That's going away. And so then those headwinds will continue through the rest of the year.
Jerry Revich: Okay. I think I just missed your comment. You said CONEXPO cost. Could you just repeat that, sorry?
Dave Antoniuk: Yes. CONEXPO – the CONEXPO trade show cost in 2020 were about $3 million. That provided a benefit on a year-over-year comparison.
Ann Duignan: Okay. That's a good proxy for trade shows going forward banner at least CONEXPOs and banners. Thank you. Appreciate it.
Operator: We will now take our next question from Mig Dobre with Baird. Please go ahead.
Aaron Ravenscroft: Good morning, Mig.
Mig Dobre: Yes. Good morning, everyone. So you clarified the steel logistics and all these inflationary pressures are a net $30 million headwind. So I guess I'm wondering if we're sort of normalizing for that, say that you didn't have this $30 million headwind, what would incremental margins have looked like based on your operating plan, your guidance for 2021?
Aaron Ravenscroft: Mig, I think you’re really asking a 2022 question, but I think it's difficult to answer that question, especially when we started to look at mix and where we thought we were, in the fourth quarter mix is a little bit better. But yes, there's a lot of headwinds as we look forward to the next couple of quarters. Dave, do you have anything to add to that?
Dave Antoniuk: No, I’d just say that – I'm sorry, Mig, go ahead.
Mig Dobre: Well, I said I think we all understand that. What we're trying to understand really is what you view at this point, given what you've done with capacity, given all the investments that you've made, what you view as a sort of a normal incremental margin run rate for the business ex some of these inflationary or cost variations?
Aaron Ravenscroft: Right. So Mig, we've always looked at the upside at 20% as the flow-through on the incremental sales in – under normal conditions. And depending on the product mix, it could go up a little bit higher than that, but we've always said right around that 20% range.
Mig Dobre: I see. And I'm kind of curious on your prior point on pricing and on certain dealers ordering forward and so on. How exactly are you going about implementing these price increases? I mean do you sort of have like list prices at the beginning of the year and then you adjust it as the year progresses? Is it a matter of surcharges? Or are there other – is there another mechanism at work here. And I'm kind of curious if these are sort of temporary moves in price or if there is a permanent aspect to what you're doing with pricing that carries into 2022?
Aaron Ravenscroft: Yes. So it's a combination of things. First is as we don't do surcharges. We change – we actually change the prices. That being said, that when we get into negotiated deals, and it's a question of how much you discount. And of course, there's – we're putting more pressure on our team not to discount as much as we were to offset that. So I'd say it's a couple of things. I think the real struggle for us is that when we were in the first quarter or three months ago when we talked, we really anticipated that the steel price increase would look like it did a couple of years ago. It got for a quarter, then it started to drift back down. At the time, you don't want to put too much of a price increase in place because that could cause you to those orders would be less competitive future. I think where we stand now is it's pretty obvious that the steel prices are going to hold tight and maybe even increase in the second half. So in some instances, we'll go for a second round of price increases this year.
Mig Dobre: Okay. And then final question from me. When we're looking at the $30 million figure that you shared with us, I'm curious as to what's all baked into this figure? Are you assuming that your steel cost is sort of converged on to where we're currently seeing spot rates? Or is there another assumption that's made here? Thank you.
Aaron Ravenscroft: No. I mean, so the three components really when we look at it, are steel, transportation, and obviously, components within the crane. And we're just looking at where the steel is today relative to the futures that are out there that are listed on the marketplace right now.
Mig Dobre: I apologize. I don’t think I follow your comment there.
Aaron Ravenscroft: Well, I'd just add that it's all steel. A lot of the components and subassemblies that we're buying, those folks are seeing the same inflation across the board. So it's not just as if our steel suppliers are increasing prices on us, basically everyone. And I would say there's broad-based inflation right now for everyone, not just the crane business.
Mig Dobre: Okay. I'll take this offline. Thank you.
Operator: [Operator instructions] We will now take our next question from Jamie Cook from Credit Suisse. Please go ahead.
Aaron Ravenscroft: Good morning, Jamie.
Chigusa Katoku: Hi, this is Chigusa Katoku on for Jamie. So our first question is on – we hear some companies in particular on highway saying that they expect the supply chain conditions to improve or they could at least manage better in the back half of the year. But I was just wondering what you're seeing differently. And then the second question is, can you talk to the variables around the top line for this year? And how do you think of the timeline to return to normalized revenues of $1.9 billion to $2.2 billion that you have talked about previously? Thank you.
Aaron Ravenscroft: So, on the first question I would say that that's wishful thinking. I mean every day we see different shortages. In fact, in the United States alone, we've received 40 force majeure letters year-to-date, which is something I've never seen in my career. And I would just add that when I see the chip shortage, it goes into basically every sensor that's in every part. So it's very difficult for us to predict who will be short next. It's something we literally battle day-to-day. With respect to the top line, I don't think we're ready to comment on when we think we get back to the $1.9 billion.
Chigusa Katoku: Okay. Thank you.
Operator: We will now take our next question from Steven Fisher with UBS Investment Bank. Please go ahead.
Steven Fisher: Thanks. Good morning, guys. Just wanted to ask a little bit about the energy side of the business because in iron in your comment's kind of tempered expectations around the North American business. I guess to what extent do you have capacity reserved in North America just waiting for oil and gas cycle to come back? And if it were to remain you – would you need to do anything differently with your capacity? Or would a potential highway building cycle absorb that capacity instead?
Aaron Ravenscroft: Yes. I mean I think when I look at it, the main effect is on large RTs. If you go to the oil patch today and drive around, you'll see a lot of those sitting in the rental houses. So business is extremely slow, very, very low utilization. We don't expect a significant change in the next couple of quarters. But I think that we're well positioned in our factories that on both sides of it. Obviously, we'd love to see a pickup in the business, but we don't need to do any additional restructuring, anything like that to get our capacity back in line.
Steven Fisher: Okay. And then wind has been somewhat of a helpful driver in the past. What are you seeing there at this point?
Aaron Ravenscroft: Yes. I mean I really think that we saw the jump on orders three or four months ago that we had talked about in the last call. But I'd say over the last – since that, we saw the jump in crawler orders. But since that, I think it's just been good dialogue. I think that's – I think three months ago, people were putting in orders on speculation that the wind business would pick up. Over the last three months, though, I'd say that those folks have the machines on order that they want, and we haven't seen much more moves than that.
Steven Fisher: Okay. Thanks very much.
Aaron Ravenscroft: Thanks, Steve.
Operator: It appears there are no further questions at this time. Mr. Warner, I'd like to turn the conference back to you for any additional or closing remarks.
Ion Warner: Before we conclude today's call, please note that a replay of our first quarter 2021 conference call will be available later this morning by accessing the Investor Relations section of our website at www.manitowoc.com. Thank you, everyone, for joining us today and for your continuing interest in The Manitowoc Company. We look forward to speaking with you again next quarter.
Operator: This concludes today’s call. Thank you for your participation. You may now disconnect.